Operator: Good afternoon, ladies and gentlemen, and welcome to Phunware's 2020 Investor Conference Call. [Operator Instructions]. Joining me today are Alan Knitowski, President, Chief Executive Officer and Co-Founder; Randall Crowder, Chief Operating Officer; and Matt Aune, Chief Financial Officer. The format today will include prepared remarks by Alan, Matt and Randall, followed by a question-and-answer session. As a reminder, today's discussion will include forward-looking statements. These forward-looking statements, including any such statements referring to the potential effects or impact of the COVID-19 pandemic, reflect current views as of today and are based on various assumptions that are subject to risks and uncertainties disclosed in the Risk Factors section of our SEC filings. Actual results may differ materially, and undue reliance should not be placed on them.  Additionally, the matters being discussed today may include non-GAAP financial measures. Reconciliation of GAAP to non-GAAP financial information is set forth in the earnings press release, which is available on the Investor Relations section of the Phunware's website at investors.phunware.com. I further encourage you to visit investors.phunware.com to access not only the earnings press release but also the current investor presentation, SEC filings and additional collateral on Phunware.  At this time, I would like to turn things over to Phunware's CEO, Alan Knitowski. Sir, please proceed.
Alan Knitowski: Thank you very much, and welcome to our full Year 2020 investor conference call. As a reminder, Phunware is a 12-year-old enterprise software company, focused on the intersection of mobile, cloud and big data with business-to-business and business to government customers worldwide. Our mission is to provide everything you need to succeed on mobile by providing our customers with the products, solutions, data and services for their digital transformation needs on Apple iOS and Google Android devices and applications.  Central to this effort is our enterprise cloud platform for mobile called MaaS or Multiscreen-as-a-Service. Which is available for licensing under a SaaS business model over 1 to 5-year contract periods worldwide. This past year was the genesis of an inflection point in our company's history as we shifted from a nonrecurring low-margin transaction business to a far stickier, more scalable, recurring and high-margin SaaS licensing business for our MaaS platform.  In addition to continued enterprise interest in our MaaS Digital Front Door solution for health care and our MaaS Smart Workplace solution for corporations, we have resumed conversations with customers from sectors that were hit hard by the pandemic, including the hospitality and real estate verticals. In conjunction with our growing portfolio of direct customers, we intend to expand our footprint globally by amplifying our go-to-market strategy with indirect sales and channel partners, including an anchor distribution partner that will be formally announced during Q2.  In parallel, we are excited about the completion of PhunWallet next month as we launch our blockchain ecosystem powered by PhunCoin and PhunToken. We are on schedule to commercialize, scale and monetize this part of our business and look forward to the accelerated global adoption of our blockchain-enabled MaaS Customer Data Platform and MaaS Mobile Loyalty Ecosystem alike.  As with most businesses worldwide, our team at Phunware was materially affected by the COVID-19 pandemic and was in no way immune to the operational challenges that resulted from widespread domestic and international stay-at-home orders and lockdown. Many of our customers and partners were forced to operate remotely and are still in the process of reopening their venues, facilities and offices as vaccines become more widely available and herd immunity is achieved throughout the balance of 2021 across cities, states, regions and countries.  In our case, we have seen specific examples of customers throughout North America that are still working actively to get back to a new state of normal. These include Mount Sinai in New York, which still has stringent travel restrictions and health protocols and requirements for their medical operations, Atlantis in the Bahamas, which just reopened the resort in the past 30 days after an extended closure. Norfolk Southern in Atlanta, which is still finalizing its return to work schedule for its corporate employees, contractors and support staff and PricewaterhouseCoopers in San Francisco, which is still finalizing its return to work schedule accompanying the grand opening of its new corporate headquarters for worldwide operations.  We are completely focused on the future, and what a post-pandemic environment is going to look like for our business. But we also recognize and appreciate that 2020 represented a very interesting and unique challenge for all of us. We saw multiple months without strong bookings in the middle of last year during the heart of the pandemic. As many of our customers and partners simply shut down their in-person operations and shifted to either remote-centric or remote-only environments.  Going forward, however, and especially in light of the scale of vaccinations being delivered right now globally, we are assuming that each month and each quarter for the balance of 2021, will have the world beginning to accelerate to a more normal and predictable operating environment. Fundamentally, we do not expect to have to face such a problem again for the foreseeable future and are extremely comforted by our operating performance during this difficult period.  We not only made the most of the opportunity by streamlining our cost structure, but we also enhanced our MaaS product and solution offerings, capitalized on the needs of the health care sector, facilitated enterprise customers getting back to work more safely and supported the 2020 presidential election on mobile.  While we saw a decline in annual revenue recognition associated with these initiatives when looking backwards at 2020, we expect to see a rebound here in 2021, as the operational downtime provided by COVID-19 allowed us more time to foster and improve our existing relationships while also establishing and bolstering brand-new indirect sales channels and partnerships in parallel. As always, we will continue our core go-to-market strategy, centered on direct and indirect agreements and contracts with Fortune 5000 customers, especially in the Fortune 100 size range and governments ranging from local and county to state and federal.  Importantly, and independent of the pandemic, we are extremely excited by a number of developments that have occurred over the past several quarters during lockdown and even more excited by what we see coming in the coming quarters ahead.  First, we were able to complete 3 core customer and partner portals for scaling our business through indirect channels. These included a MaaS software repository on GitHub at www.github.com/phunware. A MaaS documentation repository@docs.phunware.com, and a MaaS training and phunware phenom certification repository@training.phunware.com.  Second, we were able to add to our MaaS bookings, backlog and deferred revenues for future revenue recognition over 1 to 5-year contract periods that will ultimately provide SaaS revenue recognition over the coming 12 to 60 months rolling forward. While these efforts do not provide instant or near-term gratification on revenue recognition for our P&L, they importantly demonstrate the ongoing health and expansion of our business and will be broken down in further detail by our CFO, Matt Aune, in his section of the earnings broadcast. As a reminder, and with our MaaS sales cycles typically representing 2 to 4 months on average, recent and pending customer wins will start appearing on our P&L in the coming reporting periods ahead.  Third, we have expanded our installed base of Phunware IDs on MaaS to more than 15 billion devices worldwide, including MaaS platform scalability capable of supporting up to 5 billion transactions per day, 500,000 transactions per second and 1 billion unique devices per month. With more than 1 petabyte of data, typically growing at more than 5 terabytes per day. Our MaaS platform now provides a robust customer data platform inclusive of both the detailed data ontology and a comprehensive knowledge graph for one-to-one interactions and engagements.  And fourth, we will commercially launch our PhunWallet mobile applications on Apple iOS and Google Android next month, in conjunction with our new MaaS blockchain ecosystem, all powered by our PhunCoin and PhunToken cryptocurrencies. Importantly, while PhunCoin security tokens will not necessarily appear in our financials when live, PhunToken utility tokens will actually flow transactionally through our P&L as net new and virtually 100% gross margin revenue.  As an analogy rolling forward, please consider our core MaaS licensing activities akin to Amazon, which is what we are reporting today, while considering our new MaaS blockchain activities akin to Amazon AWS, which is what we will begin reporting incrementally rolling forward, beginning with our 10-Q for Q2 2021 in mid-August.  At this time, our CFO, Matt Aune, will go deeper into our 2020 financial performance as reported and also highlight the dramatic improvement made to our balance sheet throughout the first quarter of 2021, including our recently announced institutional financing of more than $25 million. Matt?
Matt Aune: Thanks, Alan, and good afternoon, everyone. I'd like to thank you all for joining us today for a review of our full year 2020 financial performance and our progress on key strategic initiatives. For clarity, I'll be discussing GAAP financial measures, unless otherwise specifically noted. Our press release, 8-K and website provide a reconciliation of all GAAP to non-GAAP financial results.  Net revenues for the full year 2020 totaled $10 million, of which Platform Subscriptions and Services Revenue was $9.1 million. Our focus continues to be on higher-margin, longer-term software customers, and we are pleased to have continued to follow this strategy in 2020, with over 91% of our net revenues derived from our MaaS Platform Subscriptions and Services Customers.  Gross margin was 66.4% compared to 52.9% last year. On a non-GAAP adjusted basis, gross margin was 69.4% compared to 53.8% in the previous year. That is more than a 1,500 basis point improvement year-over-year on a non-GAAP adjusted basis. This result continues to validate the decisions we made to focus on higher-margin software and data deals, and away from lower-margin legacy application transactions and give Phunware a launching pad for more profitable and predictable revenues in the future.  Total operating expense was $24.1 million, up from $22.4 million last year. As mentioned on our previous earnings call, operating expenses for 2020 include a $4.5 million legal settlement that we view as onetime in nature. Other noncash operating expense items were stock-based compensation and amortization of intangibles, making up $4.3 million this year compared to $1.9 million in the prior year. By excluding these onetime and noncash charges, full year 2020 adjusted operating expense was $15.3 million, down from $20.6 million last year or a 26% improvement year-over-year.  As we continue to navigate through the ongoing COVID-19 pandemic, we have made a priority to improve operational efficiency by cutting back operating expenses without sacrificing our ability to deliver to our customers and grow in the future. Non-GAAP adjusted EBITDA loss was $8.4 million compared to $10.2 million last year. I'm pleased with the progress we've made year-over-year despite the challenges we faced in the midst of the global pandemic. Our strategic focus on profitable behaviors to increase margins and manage operating expenses has continued to show its effects.  Net loss for the year was $22.2 million or $0.50 per share compared to $12.9 million or $0.35 per share last year. I'd like to remind everyone that this loss is inclusive of a $0.10 net loss per share from the extraordinary expense for legal settlements previously mentioned.  Moving to the balance sheet. Ending cash for the year was $3.9 million with just under $11 million used in cash from operations. In Q1 2021, we raised an additional $29.8 million, with $5.1 million from our aftermarket offering and $24.7 million from our underwritten public offering. These 2021 capital raising events have put us in a position to control our own destiny without the need to raise additional capital and removed any doubt as to whether or not we carry a going concern designation.  That being said, we are always looking for ways to opportunistically raise debt and/or equity, if it will help accelerate growth and help us to achieve our objectives faster. As we look at our debt obligations, we now have the ability to initiate a payoff of our 2020 convertible notes should we decide to do so prior to the December 31, 2021 maturity date. We intend on applying for partial forgiveness of our PPP loan that is allowable under SBA guidelines in coming months and anticipate starting making monthly payments later this year. We are also working to reduce our accrued expenses and accounts payable balances, which will be reflected in our Q1 2021 and Q2 2021 results.  Backlog and deferred revenue at the end of the year totaled $9.1 million. This is an encouraging sign as a growing backlog means several things for our business, including: one, business is coming back from the closures caused by the pandemic; two, this is the first quarter backlog has grown since being a public company; and three, is a key indicator for our future revenues and predictability. Closing out the year and in the beginning of 2021, we have attended several financial conferences and met with many accredited institutional investors in our efforts to further strengthen our corporate profile in the capital markets. We will continue to tell our story and build a strong base of investors that will join us on the Phunware journey.  With that, I would like to turn the call over to Randall.
Randall Crowder: Thanks, Matt. I don't think anyone expected a year like 2020. But with disruption comes opportunity. At Phunware, our opportunity is to do for mobile engagement what Amazon did for cloud computing. By standardizing on our platform, enterprises can seamlessly drive digital transformation in a mobile-first world that's quickly becoming mobile-only. And COVID-19 has only accelerated both the need for and the adoption of technology like ours.  In fact, the recent McKinsey & Company report how COVID-19 has pushed companies over the technology tipping point and transformed business forever found that companies have accelerated the digitization of their customer interactions and of their internal operations by 3 to 4 years. Although we specifically designed our MaaS platform to be industry agnostic, it excels in industries that struggle to manage complex customer journeys, such as health care, hospitality and property management.  However, 2020 has generated increased interest in our cutting-edge MaaS Smart Workplace solution for corporations returning to work and our MaaS Advocacy Solution for politicians seeking to better engage their constituencies. Regardless of industry, a critical aspect of engagement and a competitive advantage for Phunware is being able to identify and locate your target audience in real time.  While some customers were forced to temporarily delay software deployments, others took the opportunity to invest in true digital transformation. Over the next few years, we expect this financial commitment to accelerate. In fact, the same McKinsey & Company report found that 80% fewer executives now rank cost savings as one of the most important priorities for the digital strategies. As more than half say they're investing in technology for competitive advantage or refocusing their entire business around digital technologies.  To ensure our customers achieve a competitive advantage by licensing our MaaS software, we have made considerable progress across not only our products and solutions, but also our data and blockchain offerings. For example, we launched our modular application framework in 2020 to support the kind of rapid deployment of feature-rich mobile application portfolios that makes it easier for our indirect channel partners to sell MaaS offerings through our global reseller network.  One of our most compelling solutions that has been gaining traction through our network of partners is our MaaS Digital Front Door to tech enable the patient experience. It has always been a challenge to navigate the continuum of care, but COVID-19 has made the patient journey even more complex as patients became reluctant to visit hospitals for the types of elective procedures that drive critical revenue streams.  Our MaaS Digital Front Door cannot only provide reassuring on-site navigation capabilities and seamless access to health records, bill pay and testing but also virtual care, if a patient is not yet ready to visit a health care facility in person. Our most recent deployments of our cutting-edge platform include Greater Baltimore Medical center and Virginia Hospital Center.  The tech-enabled employee experience also became a pressing issue for corporations in 2020 as they wrestle without a plan a safe return to work. Our MaaS Smart Workplace solution allows corporations to not only manage a safer return to the office with critical features like contactless check-in, contact tracing and density management but also improves operational efficiency with mobile room booking, parking management and campus-wide navigation. We were thrilled to announce that Norfolk Southern is deploying this comprehensive solution to drive true digital transformation at its new headquarters in Atlanta.  We also announced that our Smart Residential solution was deployed by property management group for Society Las Olas in Fort Lauderdale, which is the largest co-living development in the United States. Luxury residents have grown to expect the kind of features our solution delivers out of the box, including keyless entry, payments, guest access control, thermostat monitoring and delivery management all through their mobile devices.  Lastly, we established a new vertical by designing, developing and deploying the official Trump 2020 mobile application portfolio and setting a new standard for constituency engagement on mobile. Our MaaS Advocacy Solution is now available to politicians, both domestically and abroad, with one of the key features of this new political vertical being the ability to support live rallies, which takes advantage of our proprietary MaaS location-based services and MaaS mobile engagement software. As I've said in the past, you can't monetize what you can't engage. And you can't engage what you can't locate.  MaaS LBS software is a key competitive advantage for us because we have to do more than just static wave finding to drive true digital transformation. Our software enables high-precision indoor positioning, and that's why it now covers 6 million square feet at Baptist Health South Florida and over 22 million square feet across Dignity Health Network with our latest deployment at Yavapai Regional Medical Center in Arizona. Of note, both of these latest LBS deployments were delivered through our partner network, which is critical to our success.  Indirect channel sales will allow us to scale faster and more efficiently in 2021 because our MaaS offerings are such an accretive upsell opportunity for channel partners, including hardware vendors, system integrators, software providers and carriers to enhance mobile engagement. A key strategic initiative for us is to get our software bundled into offerings that are already being deployed by our channel partners.  Before I wrap up, I want to highlight the importance of data because identification is an important aspect of engagement that provides important contextual information when LBS software is being used. Data is another competitive advantage for Phunware as we've not only generated over a petabyte of data and 15 billion Phunware IDs, but also developed a knowledge graph that curates actionable data from approximately 1 billion active devices a month at scale.  In 2020, we were thrilled to announce the launch of our MaaS Customer Data Platform to further commercialize our persistent, unified customer databases and help brands engage the right consumer in the right place at the right time with the right content. Leveraging information in the virtual world to inform real-world experiences is the future of mobile engagement. And it's a future we are well positioned to dominate. To further enhance our position in the market, we are officially launching our blockchain ecosystem next quarter, which will not only help address the value of a consumer's digital identity, but also the value of a consumer's engagement with the brand.  For more on that, I'd like to turn things back over to Alan.
Alan Knitowski: Thanks, Randall. As highlighted throughout today's call, we are all extremely excited by the pending commercial launch of our MaaS blockchain ecosystem. What it means to me is that our decade-plus of MaaS platform building across mobile, cloud and big data, accompanied by our years of researching the benefits of blockchain and cryptocurrencies has resulted in the culmination and convergence of massive global addressable markets and trends that can act as wind at our backs and accelerate growth.  We expect this ecosystem to complement and supplement our core MaaS offerings as we offer our enterprise customers additional capabilities to identify and engage their target audiences. While many corporations and individuals are newly familiar with blockchain and cryptocurrencies, both Phunware and our executives have a long and distinguished history within the global digital asset community. As such, we expect to be a trusted bridge for Fortune 500 corporations and governments looking to leverage blockchain. Please look for additional announcements in the coming weeks and months ahead, as we enable consumers to not only regain control of their data with PhunCoin, but also reward them for their engagement with PhunToken.  In parallel, and as we have suggested previously and would again reiterate here, we intend to complement and supplement our core organic growth activities through direct and indirect channels worldwide with opportunistic inorganic mergers and acquisitions. While we have nothing yet to formally announce on this front, we expect to focus our merger and acquisition activity on accretive deals in areas that will provide more customers, more partnerships and more distribution for our MaaS platform especially in international markets such as Europe, Asia and South America.  Finally, and importantly, rolling forward, we fully expect to maintain a laser-focus on our core operating and financial model which includes top line growth of 30% or more year-over-year and blended gross margins of 75% or greater.  With that, and in conjunction with the sincere thank you for your ongoing interest and support in all of our activities on behalf of the entire Phunware family worldwide. I would now like to open up the call for questions through the operator. Go ahead, please.
Operator: [Operator Instructions]. And the first question is coming from Austin Maldo [ph].
Unidentified Analyst: Can you put into context how meaningful an expansion is with a current customer like Baptist Health South Florida versus signing a new customer?
Alan Knitowski: Yes, I'd be happy to do that. So when we actually see these, there's usually 2 types of engagements we see with the health care companies that focus on patient experiences. Typically, the initial engagement will be something that will be mid-6 digits in size that will be typically tied not to their whole health system as step 1, but usually, they do a tiered rollout. So what we often see, which has been the case in places like Baptist Health, Dignity Health Care, Mount Sinai, Greater Baltimore, many of the other ones that we've been announcing recently. Typically, you could see something ranging in the 400,000 to 600,000 and usually about 3-year contract period. So you're kind of talking about $20,000 to $30,000 per month of MaaS licensing. And then typically, as they expand it to their other facilities and expand it to more square footage, we typically arrive at the low 7 digit, and then it expands up from there.
Unidentified Analyst: Okay. Great. And can you just sort of speak to your channel partner pipeline for 2021 a little more?
Alan Knitowski: Yes, absolutely. And great question. For the most part, leading up to the pandemic, we did mostly all direct selling. Digital transformation was still net new. There wasn't always that compelling reason for governments, especially and even large corporations, which we sell to, to accelerate their digital transformation initiatives and needs. As it turned out for us what the pandemic did is it forced companies to relook at how they operated, both on-site and remote. And they realize that digital transformation and especially the way in which they engaged on-mobile became a matter of survival.  What we've seen is, as you might expect, a lot of 2020 was showcased by health care engagements because pandemic or no pandemic, health care was essential. It just got broken into that, which supported COVID and that which supported elective surgeries and all of the other normal care. They initially started diving into remote telehealth. That became critical for them to be able to focus on triage and actually focusing on what they wanted to do remote versus who they wanted to show up and then how to separate COVID and non-COVID patients.  So when we see this going forward as it relates to channels, the channels we have are in 4 areas. We have hardware companies that typically take our software as a mobile activation layer. They'll bundle it with their routers, their switches or access points, and they'll provide a package to a venue or an office where they can get not just faster WiFi and more interactivity, but they have all the software they need to be able to tie those into those mobile applications for their employees, their partners or their consumers.  In the area of our second partnerships that you'll expect to see will be in the service provider domain, where they're bundling voice, video and data with our software to again give venues activation for digital transformation on those mobile applications.  The final two are very traditional for software companies. They are software channels and they're system integrator channels. And in both of those cases, they're trying to provide digital transformation solutions to their customers and they're licensing the Phunware's software to help them engage, manage and monetize.  While I teased that we're here in Q2 upcoming, we already have a signed global distribution deal that we'll be providing details to. We have not yet publicly done an announcement or broken out how that go-to-market will work. But now that it's been signed, you should expect to see in Q2 a formal announcement, a formal rollout that will really shine all the work that we've done in the last several quarters to activate these channels. And we'll expect to see the benefits of those rolling forward.
Operator: And the next question is coming from Howard Halpern.
Howard Halpern: Howard from Taglich Brothers. Congratulations on navigating the year.
Randall Crowder: Appreciate that. Good to talk to you, Howard.
Howard Halpern: Yes. First question is with regards to -- I think my understanding what you sort of said in the beginning, from a modeling perspective, we can expect sequential quarterly growth going forward in 2021?
Alan Knitowski: Matt, you go ahead and take that.
Matt Aune: Yes, Yes. No, I can take that. Yes, yes. So we're not providing guidance for this year, at least yet. Obviously, there's a lot of factors that go into what we're doing in terms of timing and deliverables to customers and getting customers to sign up for deals. So our reaching focus, as Alan mentioned, is to try to grow at 30% year-over-year. You've seen in the last several quarters, there's been some few dips here and there, and that's really just been as a result of timing issues.  And so our publication for the full year will be the growth, how that grows between quarter -- between quarters, still -- we're working through that. But obviously, as we get more certainty into that, we'll share that as we get to that point.
Howard Halpern: Okay. And can you guys talk a little bit about the activity or pent-up demand you're seeing in Q1 as compared to the second half of last year?
Alan Knitowski: Yes. Let me start with that, and then I'm going to have Randall finish up. So I'll take it at the strategic level with the things that we've been seeing and then Randall can dive into some of the tactical things that we're seeing in parallel. So when we look across, we -- our platform can be sold to all Fortune 5000 customers, inclusive of governments. When you deal with carving out health care specifically, and you carve out government specifically, both of those verticals are fully active. So independent of the pandemic, looking backwards and independent of coming out of the pandemic post-vaccine, elimination of lockdowns and shutdowns those 2 verticals will be extremely active and will stay similar to what we were seeing a year ago. So that will be point one.  Point two would be those verticals that we saw that were really devastated by the pandemic, things in the areas of travel, live sports, live music, and a lot of the hospitality oriented things that were very much affected by all of us not being able to travel for either work or pleasure. And so we are seeing a lot more activity now. On our call, we highlighted we're literally the Wynn Hotel in Vegas has been open. Macau has been open. When you go into Boston, they're still in the process of expanding that opening. However, if you take another customer that we highlighted Atlantis, they were shut down literally until about 30 days ago.  So anything touching hospitality and travel, I think you're going to see -- we've already seen a big uptick in Q1 of the activity. And I think as they're opening those facilities in full, travel is going up, more people are on more flights. And I think that we're going to see that progressively get better throughout the balance of the year.  In terms of other areas like media entertainment, I think we've seen that any of the one doing distribution across their companion television applications. Their networks, their shows and their content. Obviously, a lot of us have been consuming that, and that's been no different in the past through the pandemic. If anything has accelerated because we were all trapped at home and not really out and about the way we normally are.  I think that the final comment I'll make before giving it to Randall would be as we get into areas, as I said, that look like aviation and deal, especially with corporate campuses, we're seeing a big uptick in the activity around the corporate campus as people are getting work to -- accustomed to back to work initiatives. We highlighted Norfolk. But what I want to do is hand over to Randall, and he can give you some very specific customer examples to supplement the vertical areas that we're seeing.
Randall Crowder: Okay. Thanks, Alan. I mean I would say the best way to intermediate to that is to try to reinforce something that I think keeps getting lost. At the end of the day, we have two primary competitive advantages. One, we can deploy future rich mobile application portfolios faster and more scalable than pretty much anybody because we've been doing this since before mobile applications were cool. So that's our modular application framework.  Now when you -- when I say that, you think, well, hey, doesn't -- most of the world have mobile applications. So that cuts us out of certain businesses like media. MBC is not going to come to us and say, we want your modular application framework to build a mobile application. But in health care, and for corporations who have never had a mobile application because they never needed one until now, that's wildly beneficial to them.  So hospitals have gotten by with responsive -- mobile responsive websites. They've gotten by using, for example, MyChart, which is a mobile application provided by Epic, which is just access to an EHR. And then every corporation who traditionally has been going to the office, what do they need a mobile application for, right? You go to the office, and if you really need to try to figure out something about the company, you log in or you go to www. whatever that office is, and you get an about us page and a contact us form. And that's it.  The world is changing. So now every corporation is trying to figure out how to manage its workforce. So Fortune 500, large corporations, trying to figure out how to bring people back into the office, activity is off the charts. Everybody -- nobody -- forget this idea that everyone is just going to go remote forever. We know -- people said they would never fly after 9 11. And sure enough, a couple of years later, it was back to normal. This is happening right now, everyone is struggling with that.  So our most active sectors right now are corporations trying to come back into the office who also need a mobile application in order to do that well. Health care systems that are trying to turn back on elective procedures because that's literally their lifeblood. They absolutely have to solve for digital transformation to make that happen beyond the operational efficiencies that's just the mobile side of it.  Now take that, put a pin in it. What's even more exciting is the location-based services or other major competitive advantage. If you want to have smart venues, if you want to have smart spaces, you have to have software that connects a mobile device to all these access points that were never designed in order to provide contextual location. That's what Phunware does out of the box. So we are that middleware between a mobile device and whether it's WiFi, smart lighting, anything else you might have that actually sends out a signal. We make sense of all that so that you can identify a human being inside the way we can use GPS to identify a device outside.  And so a lot of activity around that, where it's just -- I want to create smart spaces now. The future of mobile engagement is going to be contextual. And so anywhere you have -- like -- so I remember we talked about Society Las Olas. It's the largest co-living development in the U.S. in Fort Lauderdale. Everybody wants to do that now. Everybody wants to live, work and play in the same space.  And so as you start having this density and as you start having people wanting to have grocery and restaurants and bars and resident -- luxury high-rise residential all in one place, those kind of customer journeys have to be managed by an application and location-based services like Phunware has. So a lot of activity around that. And those folks have 5-year development timelines. They understand that COVID hit in 2020, but they're building these large developments, and they're not going to abandon them. So we're seeing a lot of activity in that respect as well. So health care, smart workplace, and kind of mixed use residential, really exciting.
Howard Halpern: Okay. And are you seeing any near term or like when the stadiums are opening up across the country?
Randall Crowder: No, the challenge with that, we've done -- so we did AT&T Stadium in Dallas. The challenge with that is actually just business use cases. You have the NFL team, who pays for it, right? So you have somebody that owns a stadium, but then you have a team that owns it, then you have a sponsor that wants to put their name on it and everybody is pointing at each other in order to pay for it. At the end of the day, we're an enterprise software company. We can deploy anywhere, but we're also very judicious about where is the low-hanging fruit.  So if all we did was dominate, we're getting people to return to work, getting people to have a tech-enabled patient experience. Really dominating luxury, residential and even what we're doing in our political vertical. If we did that well, we'd be a Fortune 100 company. So going and trying to target stadiums we'll let them -- we have some conversations going on, but that's not necessarily a major sweet spot for us, to be honest.
Alan Knitowski: And to actually supplement that a little bit, Howard, just to your point, what you might expect is it's state-by-state if you're talking domestic, and it's still subject to the lockdown and shutdown differences. So if you actually said stadiums and arenas, yes, we're dealing with March madness right now, obviously, for the NCAA. If you're in Texas, if you're in Florida, things are pretty wide open, then they're just managing, are we going to allow full capacity or half capacity. If you're in New York, if you're in California, you're just not having these sporting events at all. Even I think the UFC is relocating itself back to the United States, opening up stuff in Florida.  So I think what you're seeing is it's not so much a holistic thing across these stadiums and arenas across the country, it's still which states are open, which ones are not. And the states that are open are being flooded with not just professional sports, but going down into Collegian sports and use sports as well. But I think over the next two quarters, as California, New York and other parts of the country start behaving more like Texas and Florida, we're going to see an acceleration of that.
Howard Halpern: And one last one with -- regarding the blockchain launch. Is there going to be any meaningful incremental cost to that? Or is your current infrastructure-based on that launch going forward?
Randall Crowder: I'll take that one. It's actually -- it's actually a really intuitive question, and it's great. And it's what differentiates us from, I would say, 95% of the rest of the blockchain cryptocurrency world. After everybody got burn in 2017, everyone is looking for who's real, who has the gumption and the wherewithal to get this done. Because decentralization, for me, oftentimes means a rudderless ship. And so you need people who have this as a part of their product road map, who have this as a part of their go-to-market strategy, who can push this forward. Or these things are never going to be adopted by the mainstream.  And so for us, our existing engineers who are world class, our existing infrastructure supports the entire thing. We don't have to go out and hire new people and build new features because we've been building mobile and engagement tools for enterprise for more than a decade. And so there's no additional major material incremental costs that we need to kind of incur. But that being said, obviously, as we grow as a company as our market cap expands and as we grow both organically and inorganically, we'll continue to build out that team so we can deliver even more features, more capabilities.  And so there will just be a natural progression, but we don't have a separate engineering team for our blockchain initiative that incur some additional liability. Our engineers have been working on that because we're building it for the same enterprises that we built mobile applications for where you have the exact same design-led thinking, and that's why it's actually going to be successful.
Alan Knitowski: And the one thing I'd want to highlight here that I think is super important about this is much like people got familiar with Red Hat as the safe on-road for open source and Linux, if you were a corporation or government, the trust that we've earned in working on mobile applications at scale and controlling up to 1 billion devices every month with our software and using literally hundreds of thousands of transactions per second what we're going to be able to do is a couple of interesting things.  One, we'll be able to provide a safe onboard for these enterprise customers, government customers, that want it tie into data and mobile loyalty in a safe way, bridging through Phunware to get into this new ecosystem in a way that they actually can trust, as Randall said, very directly and very accurately. The other thing is that we're not aware, and maybe you all know, but we believe that our launch of our full ecosystem tied to PhunToken and PhunCoin next month, will represent the first-ever crypto ecosystem ever launched by a public company that trades.  We know there's people that buy bitcoin with corporate treasury as an example. We know there's people that are doing bitcoin mining. We know that there are financial groups offering ETFs or funds or other things like that to try to get exposure. We even see some that are dealing with the trading aspects of security tokens or utility tokens. What we've yet to see and what we think we're going to be the first is a credible NASDAQ trading, listed company, fully audited with the pristine components of governance and everything that goes around this ecosystem, launching an entire ecosystem to take advantage of what we're doing and to allow others to use it in a safe, responsible, compliant way according to all the laws, regulations and everything in between.  So we're really excited by that. We've been doing this for years, and now we finally get to hit the proverbial-go button. And that will be something that, as I said in my portion, we'll start having successes in the second quarter, those PhunToken that will actually flow through our P&L, that will be net new. And then you'll start seeing those when we report in, I believe, mid-August for the second quarter.
Operator: [Operator Instructions]. And the next question is coming from Ed Woo.
Ed Woo: Sure. Ascendiant Capital. Congratulations on managing through what was a very challenging year. My question is, as things get back to normal, do you think your sales lead time as well as your implementation software time is going to get back to normal and get -- be faster?
Alan Knitowski: Yes. So I'll take that one. I think what we've seen and what Randall highlighted, we actually have in our vertical solutions, the ability to provision solutions extremely quickly. The 2 to 4 months, we typically talk about that you see in an average sales cycle that may be in the engagement, that may be an RFI, RFQ, RFP responses and then back and forth of the papering of deals that you win. So we think that, that cycle is going to stay very consistent what we expect, though, to overlay that is actually two things.  One is all this pent-up demand where companies really were deferring budget and deferring initiatives, deferring rollouts of their solutions, even for their employee bases in addition to consumers until their facilities were reopening. And we see that, that acceleration that we were highlighting the delays that we've seen in some of our customers and partners, we expect there's going to be a lot of pent-up demand that's going to go with that.  The other thing is that we see all the work that we put into creating a full software repository on GitHub, a full documentation, training and certification set of repositories. All that work we set up for our indirect channels we're really looking forward to making those announcements in Q2 to show where that's going to be a one-to-many deployment where it's not even an upsell or a cross-sell, but we'll have our software bundled with product and every time those products ship, we're going to actually receive a license of 1, 3, 5 years across those venues and that square footage to Randall's point across those venues and those facilities that they're trying to activate for digital transformation on mobile.
Ed Woo: Alan, that sounds great. And then my last question is in terms of average deal size as well as average duration, I know you guys have done a very good job to get bigger deals than for a longer time period. Is there a specific target that you guys want to get your average duration of new contracts going forward?
Alan Knitowski: So I'll take the contract duration. Go ahead, Matt. Actually, you can take this -- sorry, talk to retail, you can take that.
Matt Aune: Yes. So typically, I think as we said before, we typically look at 1 to 5 years. For us, we want to have people sign up for as long as possible. Our typical deals in the verticals that we've been focused on over the last kind of 6 to 12 months have been 3 years long. And deal sizes are anywhere from $700,000, up well over $1 million. And so for us, the 3 years is a good time frame for us. A lot of the customers we're dealing with. Are -- if we're talking about big health care customers, they don't want to sign up for a year and then have to go through the whole process again.  And so typically, we're able to sign it for 3 to 5 years without a problem. And then from there, really, our next focus is how do we expand that? And like we've talked about with Baptist Health and some of our other customers, we start with initial engagement and then we really focus on pushing with the customer and getting more and more and extending that overall timeline in terms of how long they're gauged for.
Operator: And the next question is coming from Mike Latimore.
Unidentified Analyst: This is Antal Sau [ph] on for Mike. Could you give me an update on how much of pipeline includes location-based services? And how are the revenue retention rate?
Randall Crowder: Matt, you can probably talk to that. We haven't been breaking that out in the past. I think we had that question before.
Matt Aune: Yes, I missed the first part of the question. Could you repeat that, apologies?
Unidentified Analyst: Yes. So how much of your pipeline includes location-based services?
Randall Crowder: Let me start, Matt, and then see if you can kind of clean it up. One important point to kind of note when we deploy our platform, it's kind of like Microsoft Office, just because I think nobody on this call has ever used Access doesn't mean you still don't get it. And so there's a lot of -- our platform. I think people have misconceptions about. We're deploying MaaS and MaaS is fully feature-rich. Now certain customers we'll choose to turn on certain features, but they're licensing that safe platform.  And so we've never actually had the need to kind of break out okay, well, you're only using that same analogy, you're only using Access versus this customer using PowerPoint versus this customer is using only Outlook. And so I don't think we have those numbers. Matt, I know we were going to look at it and maybe we can do it in a follow-up with Mike. I know we have a couple of calls with Northland that we need to hold. But is there anything that we have shared before that gets to that point a little bit?  For example, Baptist Health South Florida, they already had a mobile application and so they only licensed our location-based services software. So that one's easy. That 6 million square feet, it's $1 million total contract value. And we love that business because that's a lot higher margins because now they're just licensing our location-based services software. And it's not that kind of integration and design component that we normally have with mobile applications that we help out with. But do we have any numbers tied to ones that are similar to Baptist Health, Matt?
Matt Aune: Yes. It's not something that we're sharing right now. We do have some numbers. We can go back and take a look with the team and see if there's something we can pull out to help better represent the portion that's utilizing the LBS portion. So let me take that down and see if there's something I can pull up on that, and we can certainly get back to you.  I did want to address the second part of the question. I believe that it was related to churn. And so for us, as we've said before, we're selling to customers now in kind of a 3 to 5-year contract, this is really a culmination of a lot of development. We've been around 12 years. But our platform is fully ready now, and it's really over the last year plus we've been selling these types of deals.  And so for us, it's a little bit early to say, hey, the churn rate is this when we're signing customers up at 3 to 5-year terms. For us, if we look at 1 layer deeper and how we approach churn, our typical LTV on initial engagement is going to be greater than our cost to acquire that customer. And so for us, we're -- the math works for us going out and getting customers. We feel that our deal sizes more than cover how much it cost to get these customers.  But for us, really, as I mentioned earlier, the focus then becomes on customer success and customers like BHSF were expanded, as Randall said, expanded 3 million to over 6 million square feet in total. This is just another example where the customer becomes stickier and the churn window is pushed out and the LTV is extended. And so those are the types of things we look at now. And as we over time, we're going to get a better idea on how things turn. But just to be clear, this isn't -- our business isn't a business where we're going to see customers having an opportunity to churn on and off every month. We're signing up for longer-term deals, and we're cognizant of how much it costs to get that customer and what's the lifetime value of that customer.
Randall Crowder: And Mike, I think what you're getting at, which is important, and I'd like to reframe the question just a little bit, so we can get you the right answer. It's not who's getting location-based services, it's kind of who's getting that plus something else. And so the reason you come to Phunware is because of our ability to contextually engage, and that's location. And so we're not out there selling a bunch of nonlocation-enabled mobile software to hospitals. Every single hospital we're working with is working with us because we can make things contextual with that location-based services software.  And so there's almost -- I guarantee you the number right now will be pretty much 90% or more of our revenue is licensing our location-based services software. The question is how many of them are also doing a full feature-rich mobile application portfolio using our modular application framework. So Baptist Health South Florida is only licensing, location-based services software. Virginia Hospital Center and Greater Baltimore Medical Center, they're also licensing location-based services software. But in addition to that, they also needed us to build their digital front door. So everyone gets location services software, only some people need us to actually also build them the mobile application. Does that make sense?
Unidentified Analyst: Yes. All right. And how many salespeople do you have now? And how many more will you add this year?
Randall Crowder: Sorry, 5 right now, we're actively hiring more. And so we're -- that is the primary use of funds. So obviously, we announced the $25 million round from Northland and ROTH. And so that's not to address a lot of tech debt. That's to address a very small sales and marketing team. Our ideal operating model is kind of a 4:1 LTV to CAC. We really -- and when I say sales, a lot of it is tied more around kind of this idea of engaging these channel partner relationships, not direct selling.  So we're -- these folks are experienced sales executives. We're not buying kind of a young team of people just hammering the horn, these are 20-year veterans of selling enterprise software through channels so that we're getting orders of magnitude from their participation. So 5 now, and we are aggressively hiring right now more. I can't tell you what we're going to end at the end of the year. It will also depend on how fast we activate some of these channels because some of these sales folks will also be working those channels to kind of further activate new customers within those channels. So 5 now, I'd like to get another 5 by the end of the first half of this year, and then we'll kind of scale from there.
Unidentified Analyst: All right. And the last one, should deferred revenue grow faster than revenue this year?
Randall Crowder: Repeat that question again, Mike?
Unidentified Analyst: Yes. Should deferred revenue grew faster than the revenue this year.
Randall Crowder: I'm not hearing the first part, it's cutting off for me. Matt, can you hear the...
Matt Aune: Yes. You're referring to deferred revenue growth and our expectation for this year in terms of how it's going to grow versus revenue?
Randall Crowder: Got you. Matt, go ahead and take that one. Yes, we certainly -- we've already seen like return in the corner, and we feel like we're at an inflection point to begin adding back to backlog and deferred revenue.
Matt Aune: Yes. No, I think that deferred revenue growth, we've said it before, deferred revenue backlog are key indicator for us. And certainly, our focus is to build that as much as possible. That being said, I think that on a deferred revenue basis, we are able to deploy quicker, faster now. So you're not going to see projects that are held up for several months because of maybe in the past, might have been development issues upfront with our customer. Now we have a fully capable platform and products that we can deliver quicker.  But that being said, we're continuing to invoice annual advance and to build that. And so we do expect to see growth there. And we'll see how things play out with our strategy in terms of, obviously, we're continuing our direct sales that we've been doing for years. But really this indirect sales that we're focusing on this year, could have a fairly big impact on that. And so we'll update everybody as we kind of get through that. As Alan mentioned, we've got some partners we're working with, and there could be some opportunities there. We're going to be able to scale up our revenue and backlog.
Randall Crowder: And remember, that's going to be the biggest differentiator between last year and even the previous year to this year. As we grow this, our ability to generate revenue, both what Alan already made a good point of it, I hope everybody understands what we're doing around blockchain actually showing up as revenue because we have a live product and a live ecosystem with our PhunWallet that now it's just like selling digital goods. So for us, it's no different selling a PhunToken, than it would be selling location-based services software that should be very compelling from a shareholder perspective of saying, okay, how do we really begin ramping revenue a lot faster? That's one.  The other -- and I want to hammer this point home these indirect channel partner relationships. And so you'll see a big move over the next couple of years to this idea of usage-based pricing. And for us, that means square footage. And so our usage-based pricing with square footage, depending on the complexities of your venue that you want to become a smart venue. Once we're bundled and someone else is offering, and they already have access to that customer, and the door is already wide open, and they're just upselling them or turning on additional features and capabilities, we're just collecting revenue at that point. Great margins, and it's priced based on square footage.  And so that is a totally different thing. I think still a lot of people feel like we have to engage in the year-long sales cycle to sell some large brand like Fox and then it's the slow role of trying to develop the actual engine that they want, and then we finally get to recognize revenue. We've done that very well on the path. We've done it very well in the passion verticals. And we still will do that a little bit faster clip, but we'll do it for hospitals and corporation. But when we start bundling things like our location software in other people's offerings, it will fundamentally change our revenue ramp.
Operator: Ladies and gentlemen, at this time, this concludes the company's question-and-answer session. If your question was not taken, you may contact Phunware's Investor Relations team at Phun@gatewayir.com. Thank you all for joining us today for Phunware's 2020 Earnings Conference Call. You may now disconnect.